Francois Michel: Hello, everyone, and thank you for being here today with us in Paris and also online. I'm, of course, very pleased to meet you all for the first time, and I look forward to having many more interactions with you and with the financial community at large. Today, here with Thierry Hochoa, who is GTT CFO, we will be presenting our financial results for 2025. And Karim Chapot, who is our Senior VP for Technology, will also come on stage to talk about our technologies. Karim has been in GTT for nearly 3 decades. The other members of the Executive Committee are here with us today, and we are all available at the end of this presentation to answer any questions you may have. So the agenda for today is the usual one. I will start by sharing the 2025 key highlights. Then together with Karim, we will give you an update on our technologies and solutions and our innovation strategy. I will then walk you through the market update. Thierry will cover our 2025 financial performance, and I will conclude this presentation with the usual guidance and some key takeaways before opening the floor to your questions. So to start -- I will start with a couple of personal and very important comments on how I see GTT. GTT is a unique company by many, many aspects. And I find it after a couple of weeks in my role, very impressive, even more impressive than what I thought it was. We have a unique technology and expertise which sits at the core of the LNG global value chain. Our expertise is unmatched, and it relies on a very long, very long solid track record of 60 years. There is, of course, in the company, a large number of talents of very competent staff experts and a good combination of IP and skills. It's not only formal IP, it's a lot of skills in the trade. And all of this makes it a very strong basis to create value, which -- in a sustainable fashion, which the company has done successfully in the past and which I can assure you will continue in a very solid, very sustainable manner in the future. I wanted to make this point is something that I do believe fundamentally. That's also why I joined this company. And it is also a belief that is shared amongst our staff and employees. So it's the core DNA of the company. Now key figures. So I'm also very proud to announce that 2025 has been a historical year for GTT. You have seen the release. We have seen a very significant increase both in revenue and in EBITDA, reaching record high levels for the third consecutive year. Our revenue has increased to EUR 803 million or plus 25% year-on-year. Our EBITDA has increased to EUR 542 million, which is plus 40% year-on-year. Our net result has also increased markedly to EUR 414 million. And this has led the Board to propose a dividend of EUR 8.94 per share, which is in line with GTT's constant commitment since the IPO. We continue to provide also a good visibility on the activity of the company. At the end of '25, the order book of GTT is solid. It stands at EUR 1.6 billion. Now regarding the key highlights, and this slide is very important in the presentation. And I start with the core business, which is the membrane containment solutions. The year 2025 was extremely positive in many aspects, but it was singular also. Why? Because the first part of the year, and you see this clearly in the chart -- on the chart on the right, was impacted by very important geopolitical tensions, notably between the U.S. and China. Of course, the discussions on tariffs weighted a lot on the decisions from shipowners to place new orders. And so we saw a moderate order intake well until Q3 and even with a through in Q2, only LNGC was ordered in Q2. It is temporary, but it is as it is. And so what is positive at the end is that the momentum picked up in Q4. You see we have registered 18 LNGC orders in Q4 alone, which is almost as much as the 19 that we have had during the first 9 months of the year. And I can assure you that the momentum continues in '26. We are seeing a very high level of activity of commercial activity. Since the beginning of the year, we have announced 14 LNGC orders since January so far in '26, and we expect many, many more to come quickly. So this temporary slowdown, in fact, is counterbalanced for us by a very high level of activity that has picked up after the end of Q3. And this dynamic is quite similar, was quite similar for FIDs. If you look at the FIDs for new liquefaction trains, in fact, we saw a somewhat moderate start of the year overall and a clear acceleration in the second part in the second half of the year. We could have put the chart here. And overall, '25 was a record year for the decisions to -- final investment decisions for LNG trains with a record level of 84 million tonnes per annum, of which 62 million in the U.S.A. alone. We estimate that these FIDs announced last year will translate into additional needs for new LNGC vessels, representing roughly 150 additional vessels. And so of course, as a consequence, we are confident about the fact that the our order entry -- the level of activity or commercial activity, the order entry will be dynamic, will be good in the quarters to come, but also in the medium term. Second important points for 2025, it is the year when our marine and digital activities, and this is how we call them today, reached a critical mass. We expanded our digital solutions with the acquisition of Danelec. This activity now brings together digital solutions and services dedicated to what we did before, which is services mostly to the LNGC market, but also right now with -- to the wider maritime fleet serving 17,000 vessels. And we now have a very robust platform, a critical mass of people of skills and a large installed base of products, which have reached the market. It may sounds a very simple, but for a medium-sized company, the size of GTT, having an addition of almost 200 highly competent, highly expert people coming in the digital area will allow us to accelerate massively in this area versus what we had been able to do in the previous years. So with this, we are very well equipped to create value in the digital area, marine and digital area, but also for our core LNGC market, and I will come back to it. The third type of activities that we have, and we single out what we call advanced technologies, what I call advanced technologies. Which are the type of activities that are breakthrough in nature and with a very, very high level of technical content. As you know, GTT is a technology company. We need a couple of activities, which are really ahead of the curve, extremely innovative and where we can take perhaps sometimes together with partners, some limited risk to really push the boundaries in terms of technological innovation. Our venture arm, GTT Strategic Ventures had an active year last year. We added 2 new participations, novoMOF, so Metal-Organic Frameworks, but also CorPower. And we also increased our stake in bound4blue to support its industrial developments. Our advanced engineering and modeling consulting team, which is called OS, which has been part of GTT since 2020, continued the development of its modeling solutions and a very active year for AI, in particular, for the maritime applications, but also for other types of applications. And as you know, we have actively taken the decision to focus, I would say, Elogen on the development of its core stack to take into account the slowdown on the [ hydrogen ] market and also focus [ hydrogen ] on what GTT is the best at, which is developing the core technology. So all of this well done in the year. Now let's turn into our technologies and solutions before looking at our market. First, a couple of comments on our innovation strategy. As I was saying, technology and innovation are at the very core of the DNA of GTT. Again, that's the reason I joined because it sets this company completely apart versus traditional company. We have a huge number of experts at the top level in the world in our field. We have more than 3,600 active patents, and we filed again last year, 68 patents, which is slightly upward versus '24. And our innovation strategy is, of course, built by the teams. It's built around the level of expertise that they have, but it's built -- it follows a very simple, I would say, step-by-step disciplined approach, which I will try to summarize as such for the core business. First, we work to improve the efficiency of our containment systems, not only through breakthrough innovations and sometimes we communicate on the breakthrough innovations such as NEXT1, which is a fantastic system, but also with a very sustainable gradual approach to upgrading our existing systems. We have -- our systems, Mark III and NO96 are improved, I would say, almost every quarter with new designs, with new add-ons, with new solutions that allow them to perform better for customers. And this is what makes our innovation strategy so specific. Second, we also invest beyond our own internal systems to improve the overall performance of the LNGC tankers. For instance, we released the design of a new LNGC architecture with 3 tanks and a capacity of 200,000 cubic meters. That means lower boil-off rate, lower operating costs, lower CapEx for the owners. And all of this creates a lot of value for the industry. This comes from us. The third way, and this is an area where you will see an acceleration in the coming years because it's an area where we can invest in a value-creating fashion in a very solid manner, thanks to our newly acquired digital platform. We, of course, have a lot of know-how and a lot of technologies to support the ship operations, especially the LNGC operations through their lifetime. Because we provide technical assistance at various steps of the ship's life because we know how to prevent sloshing because we give day-to-day advice to optimize maintenance or to, for instance, perform alternative survey scheduling. So this is an area where we create value through innovation and that will accelerate. Now to give you more details or better illustrations than I can about those technologies, let me hand over the floor to Karim Chapot, who will present you our solutions.
Karim Chapot: Thank you, Francois. Hello, everyone. Thank you for joining us today. I'm very pleased to give you more details and share what made GTC so distinctive. As Francois said, we regularly improve our technology. So we have our standard product, NO96 [ SmartFeed ] and there are regular updates to improve the thermal performance, to improve the reliability of the technology to fit for needs of our clients, and that's something that we did for years. But we are also developing new technologies, upgrade technologies. And this next one product is really our future product. It's really -- it's fantastic products, as said by Francois, which is an upgraded thermal performance, fantastic reliability. And we have the best product today with this next one. And we are also developing new solutions, and that's really where the membrane shine. It's the ability to cover new needs. And for example, for ammonia and low carbon fuel, membrane is fully adapted. And that's really what matters for us for the future. We have a solution. We have upgrades to cover new future needs for fuels. All that will be transformed in the future because we have -- we are coming in a new area, I would say, it's an area of data, and this is made possible with Danelec. And through technology, we improve data collection, and that's really new now. We have access to a lot of information. And based on this information, we are in position to better understand what's happening on shipping operation. So to answer to very specific questions that where it was not possible in the past. So you have -- nowadays, you need to understand that you have several sensors on the ship. This sensor, we have access to the data. And through the data, we are in position to provide very detailed answers. And let's give an example of this kind of question that we have regularly from our clients. Imagine that, for example, in the United States, we have Shell gas with very high level of nitrogen. This is typical of what we have. And this generates a lot of issues for the clients. When you have a very high level of nitrogen, it means that the cargo is very cold. It means that you have a risk of boiler freight, very high level of boiler freight at the beginning of the voyage. You have issues regarding, I would say, the thermal efficiency of your fuel, which means risk of clocking on the propulsion, et cetera, et cetera, mixing of cargoes. This is really where GTT is very strong. It is understanding also operations. So it's not only the containment, but understanding the operation and how we can answer in a very precise manner to our clients on a day-to-day operation and provide the best answers for them to improve their operation. And that's where we would like to focus today our efforts and provide value to our customers. This is here just one example, but we have many, many examples coming every day where we could provide answers and industrialize our answers. So through the combination of expertise and data, we can improve today and tomorrow all these digital platforms based on the know-how that we have gathered all along the year, based on this data and the understanding of the limit of the technology, we can provide real-time monitoring and answer to all their potential need. And I would say, improve the overall value chain from the terminals from the liquefaction terminal to the regasification terminal. So we started already when you look at the maintenance, what we call the ASP alternative survey plan based on all this data and knowing exactly what happened on the ship in operation, we are in a position to really improve the operation of the ship. And instead of opening the tank every 5 years, we propose to the client to open the tank to every 7.5 years. So we increase the time duration between the opening of the tank. And this generates, of course, an optimization of the OpEx of the -- for the owner. And so that's a great solution that is today had a lot of success. So our objective is clear. We want to reinforce our technical leadership by providing these high-value services. This is possible because we have very, very good relation with all the shipowners. We have I would say, very good relation with all the value chain, with all the stakeholders, the charterers. And by having this very strong link, we are in a position to fully understand their needs and to fulfill those needs. And that's really where we would like to dig into. So with this proximity and combined with decades of operational experience and having a deep know-how of experience, it's enabled us to offer relevant solution and innovation and not just be focused on the tanks. So thank you. And now I hand back to Francois.
Francois Michel: Thank you, Karim. Now let's look at the market dynamics. My take on this is very simple, I would say. The LNG carrier demand will be very, very good, very strong in the future for very tangible, very concrete reasons. First, there is a growing need for energy and natural gas, in particular, which is a flexible energy will grow and it's also complementary to renewables. Second, to transport this gas -- there is a growing trend to liquefy it for obvious geographic reasons, I would say, but also because it provides greater flexibility and security, both for the producers and for the consumers. And third, and I will dive into this because it's important in our 10-year forecast. The LNG carrier fleet is aging, and this will drive a need for new vessels. So let's take those topics in turn. First, if we start with the traditional energy forecast, as I was saying, and you see it on the chart, what is interesting for us to see is that, of course, the renewable energy is growing, but it is growing in tandem with the growth coming from natural gas. And we view natural gas as slowly, gradually step-by-step in a solid fashion, increasing its share in the overall energy mix, reaching 26% by 2035. Second, as I was saying, natural gas can be consumed locally or exported, but for geographic reasons as well as geopolitical reasons, really core geopolitical reasons, you will see less and less pipelines and more and more liquefactions to provide greater flexibility and greater safety or security of supply to the consumers. The results of this is that the LNG demand will grow in a steady fashion at about 4.5% in the coming years, which is higher than the gas trade, which is higher than the gas demand and of course, higher than the global energy demand growth in volume of slightly below 1%. And this is exactly what you see in all the major forecast from Wood Mackenzie, from BP, from Shell, and they are all pointing towards a sustained growth in demand for LNG well into 2040 and most likely way beyond. It is also worth noting that the IEA has recently reintroduced its current policy scenario this year and also upgraded its stated policy scenario. Second, it's also important to note that all of those forecasts have been revised upward recently. So we see in a consistent manner, a very, let's say, solid growth in demand for the next decades in LNG. And as you can see on the right, with the various projects that have reached FIDs in '25, we now expect the supply to be approximately enough to cover the demand into 2035 or so. But of course, more liquefaction capabilities will be needed to meet the demand from 2030 -- 2035 onwards. One comment on what we call the shipping intensity. The shipping intensity is the number of ships that are needed to transport 1 million tonne per annum of natural gas per year. What you see on this chart is that the fastest-growing producer of LNG is the U.S.A. The fastest-growing consumer of LNG is Asia and the longest route is the U.S.A. to Asia. If we add to that the fact that the Panama Canal is congested, you will see overall an upward movement in the LNG intensity over time for -- again, here also for very concrete, very basic reasons. Now if we look in details at -- if we zoom in on the FIDs, as I mentioned before, 2025 was absolutely a record year in number of FIDs. We have a total number of 84 million tonnes per annum of FIDs, including 62 million in the U.S.A. And I try to compare this with the figures from the past. The average for the past few years was between 20 and 25 a year. So very, very -- more than 3x the average of the previous years. And just this single year, not yet translated into additional LNGCs orders really for real, will represent an additional need of 150 vessels. So it's a very positive point in terms of outlook. What is also interesting is that additional projects, more than those ones will be needed to serve the LNG demands that we have seen on the charts before and that some of those projects are well advanced in terms of SPAs. In fact, we have counted more than 50 million tonnes per annum of pre-FID SPAs, so SPAs that have not been included in signed firm FIDs yet. And this is -- this bodes very well, in fact, for the activity level of future FIDs. We have also put on this slide the number of projects, the list of projects which could take FID in '26 and '27. Of course, it's always very difficult to point to which project exactly will take FID when, but that gives you an idea of the material reality of this trend. The third driver for the LNGC demand, which I wanted to underline is the fleet replacement. And here, we need robust statistics. The LNG carrier fleet is aging. And in the next 10 years, more than 300 vessels will be more than 20 years old and of which a bit more than 200 will be more than 25 years old. And interestingly, by the way, you will see on the next slides that's when ships are being scrapped today, they are being scrapped at 25 years old. So there is a turning point in the value of the ship at about this age. And as you can see on this middle chart, less than half of the fleet today is running on the latest types of engines, which are far more efficient than the older ones. So I would say, regardless, our view, our basic view is that regardless of additional incentives such as the EU ETS, which will, of course, put some additional pressure to decarbonize this full industry and which will further increase gradually over the years to come. But I would say, regardless of this, we are convinced that simple economics will put pressure on the fleet to scrap more and more vessels and to replace them with new ones. And we are already seeing this happening because, as you know, and this is what you see on the left chart, we have seen last year a record number of scraps and conversion. The total number of ships being scrapped or converted has reached an all-time high of 19 ships. All of these factors combined will lead us to review upward our long-term estimates for LNGCs over the next 10 years, which we know put here, hence, the plus-plus after the 450. It's a little bit early for me. I've not met all customers. So it's a little bit early for me to give you very specific figures on that. But let's say, all the indications we have, markets indications we have for the moment point to a solid upward revision of this figure. So we see a very solid level of activity in our sectors for fundamental reasons. The rest of the activity is good. We see it as solid, and we have not made any revisions. Now if I turn to another market for us, which is LNG as a fuel. As you know, LNG as a fuel -- the LNG as a fuel market continues to be booming. And in fact, it has reached more than 150 units, both in '24 and in '25, and I believe that it will stay at a very high level. In fact, for fundamental reasons, when you talk to ship owners or the shipyards, LNG is winning the battle of the fuel compared with methanol or compared with oil, and this is clearly a fundamental trend. Second, what is also positive is that we are convinced that membrane type solutions and our solutions are the right ones for many of those LNG tanks. Not for all, but for many of them, if not for the majority. So a very significant share. Now of course, because this market has increased very fast, we need to make sure that we bring the membrane type solutions in a way that answers to the shipyards needs and to their level of expertise in how to handle membrane type solutions as fast. And it's also true that in the very short run, using a Type C tank is easier for a shipyard. So we will be working on that. We have a strong expertise. We have delivered a lot of systems, and we have come with a very strong action plan on this, which is summarized at the bottom here, but where I'm involved myself. First, of course, we invest and we will continue to do so in R&D to make sure that membrane type solutions keep improving. We have come up with new systems in '24 with the recycle with the [indiscernible] technology, and we just got an AiP for GTT Cubiq in -- do a couple of weeks ago. So you will see more and more innovation to have better membrane systems. But second, which is even more important to me, we will be working together with partners very close to the shipyards that are building the ships so that's we bring our membrane type solutions in a very, let's say, easy to do business with pre-industrialized fashion so that the shipyards can almost bring them plug and play in their own processes. And here, I see a potential, very concrete potential creation of value leveraging on our expertise. Especially for the shipyards that have not been used to using membranes for LNGC, which I think this is the hurdle today for the growth in our solutions. Now third market for us is marine and digital solutions. And as you know, we had already been developing a number of solutions historically in GTT, building on our own internal forces, building on advanced modeling and engineering capabilities, the OS team in particular, and also some acquisitions, Ascenz Marorka, and BPS. Everything changed in scale and in nature. And I insist on the fact that everything -- I mean, everything gained a critical mass last year in '25 because we [ know ] have a critical mass of solutions of staff and also on the number of ships that we serve. We [indiscernible] we have systems installed on 17,000 ships, which changes everything. The second point, which is very important and which I will underline is that we are not purely in hardware, and we are not purely in software here. We have the right mix, the right balance on the hardware and software solutions. And my view of this is -- and this is one of the reasons why we wanted to call this activity marine and digital is that it's not purely a software venture. It's very solid, robust systems at the core of the ship's operations, mixing hardware and software. With this, it brings us a very solid base to do 2 things. First of all, to accelerate the development of the marine and digital activity led by Casper Jensen. And we will keep developing on this. And I can tell you, I'm very confident about the synergies that we have announced so far, not only on cost, but also and more importantly, the sales synergies that will result from this. So the integration is running very well. We are confident, and we are solid there. Second, we will leverage this platform to create new services, really tangible concrete value-creating services for the LNGC fleet where we can mix this digital expertise and the expertise that we have in the membrane, in the containment systems and in the molecule handling, I would say. So let me hand over the floor now to Thierry for the financial overview, and then I'll be back for the '26 guidance and takeaways.
Thierry Hochoa: Thank you, Francois. Good morning, everyone. Now moving on to the financial part of the presentation, and let's start with the order book. We can say the order intake has been more moderate than in 2025 than in previous years with 45 new orders in 2025 for the core business and 19 new orders for [ LNGs ] fuel, sorry. As mentioned by Francois earlier, part of the orders has been delayed from 2025 to 2026 and due to geopolitical uncertainties, but our backlog remains very solid with 280 units, 88 units at the end of December for the core business and 48 units for LNG as fuel. Moreover, the beginning of this year give us positive signals and confidence with the future or for the future because we have already been booked or notified of 14 orders of LNG and [indiscernible] carriers as of today. What does it mean 288 units in terms of consumptions and flows for the core business and in terms of revenues. This means EUR 1.6 billion in revenues already secured. This means strong visibility for GTT in the years to come with EUR 609 million in revenues in 2026, and for the core business alone. This means EUR 542 million in revenues for 2027. Now moving on to our revenue. Total revenue amounted to EUR 803 million in 2025, up plus 25% compared to last year, mainly driven by new builds and higher numbers of constructions under construction in 2025, mainly driven by services activities as well, which are almost stable at EUR 23 million, thanks to development of our certification activities and -- but less pre-engineering studies, mainly driven by Marine and Digital Solutions increasing their revenues by 131% compared to last year at around EUR 36 million and including Danelec activities, which generated EUR 6 million in 2025 in 5 months. And finally, revenue generated by electrolysers activities at EUR 4.6 million, reflecting our desire to mainly focus on our technology and on a few profitable projects. Let's continue with the other main aggregates of the P&L, in particularly the EBITDA and EBIT. You can see the impressive increase, respectively, by plus 40% for the EBITDA and 26% for both -- sorry, for EBIT compared to last year. This is mainly explained by the increase in revenue from GTT's activity -- main activity. This is explained by the absence of significant delays in ship construction schedules and this is explained by a strong and close monitoring of our costs. As a consequence, the EBITDA margins amounted or amount to 67% in 2025 compared to 60% last year. Net income also increased by 90% compared to last year, including the [ outsourcing ] cost of Elogen. Two additional comments on this slide. The first one regarding investments. Our investments increased mainly linked to the acquisition of Danelec for EUR 194 million in 2025 and the new minority stakes within the framework of GTT Ventures Capital. And regarding our cash position at EUR 347 million at the end of 2025, if we consider our first loan taken out for the acquisition of Danelec, the net cash position reached EUR 237 million at the end of 2025. So thanks to our strong activity and robust financial figures, the dividends distributed will represent 80% of the consolidated net income as announced in our guidance last year in the same place. This represents EUR 8.94 up -- per share, up 90% compared to last year. I will now hand to Francois to -- for the 2026 outlook and the conclusion.
Francois Michel: Thank you, Thierry. So regarding the '26 outlook, so what we see is that we see '26 revenues ranging between EUR 740 million and EUR 780 million, still marking the second best year for GTT and following a record 2025. As we explained, there is a gradual end of the 2022 order peak, which was the very, very abnormal peak with 162 LNGC ordered in a single year and a somewhat moderate start of the '25 level. They have a mechanical impact temporarily, I would say, on the level of activity in '26. but it's not a level that will stay on -- it's not an effect that will stay on forever. So it's very temporary in terms of, I would say, slowdown. Second, our EBITDA level is expected in between EUR 490 million and EUR 530 million, very solid level, which I am sure you have noticed implies a very high level of EBITDA margin, and we will maintain a very strict cost discipline and execution control discipline to secure this level, I can assure you. The third point where we will be absolutely disciplined is dividend policy. We will maintain our dividend policy, which has been the core of our promise to investors over the past years and since the IPO. So that sums it up for the '26 outlook. Now before opening the floor to your questions, let me summarize or give you a few takeaways. So '25 is absolutely a record year for GTT. It shows that's the group has the right strategy, a fantastic, very unique positioning at the core of the LNG value chain, the capacity to execute on this positioning, the teams that are needed to secure this execution hence that also the discipline and the policy to execute it up to, of course, the dividend policies. So it also means that the staff have done a great job, and I would like to thank all of the teams for having delivered such a fantastic performance. Of course, we have been helped by a very good market, in particular in '25, but it will continue doing so in the future. Secondly, '25 is also a very good year for us when it comes to looking not at the past, but in the future because the record high level of FIDs that we have seen and that are solid and firm will translate into additional needs of 150 ships just for one single year. Third, at the end of '25, we still have a very solid order book at EUR 1.6 billion, which gives us a lot of -- of course, a lot of robustness in our forecast for the coming years. We are also -- '25 has also been the year that when we have built a real marine and digital activity, which we will leverage to create more value in this field, in this sector, but also for the core business of containment systems because it allows us to do a lot of activities through the lives of the ships for LNGCs, which we could not do before. So it will be -- it will allow us to create a lot more value. And third, I can tell you that when I look at what lies ahead, of course, we will continue to leverage our very strong expertise, the model of GTT, which is technology expertise based in the LNG and in, I would say, in the LNG world, but mixing it with advanced know-how and the good skills in data and digital will create a lot of value for all stakeholders, for a lot for our customers, but of course, a lot also for our shareholders. Now thank you for your attention. I hope the presentation was clear. And we and together with the management group here and Thierry, in particular, we are happy to answer to your questions.
Jean-Luc Romain: I have a question about your technologies and the adoption of your new technologies. You mentioned GTT NEXT1 is a fantastic technology and Mark III and NO96 are continuously improved. What would convince the shipyards or the shipowner to move from continuously improved NO96 or Mark III to the NEXT1 technology. Same question for Cubiq.
Francois Michel: I will -- thank you for your question. I will let Karim Chapot answer on the particular technologies and then perhaps give you some complement on the marketing strategy.
Karim Chapot: Yes. Regarding -- that's true that NO and Mark have a fantastic legacy and had a lot of success and both clients and shipyards love this technology. But it's clear that the next one has a major advantage. It's first the level of reliability that is much higher than Mark III and NO. And also something that is special is the ability to be enhanced. This NEXT1 technology is designed for the future, is designed to, in fact, be really efficient in a world where we are -- we have a huge tension on the CO2 price and the requirement from the client to be at a very, very low boil of freight. And we are selling a solution at 0.07, but they are strong options and optionality on the design to be further improved, and that's really where the next one shine. So today, of course, the shipyards are looking at it. They are developing all this industrial scheme. We are working with them. We are supporting them. We are marketing the solution to the owners. And we see some very influent owners really interested by this optionality. For sure, as soon as the IMO and I would say, the LNG -- the [indiscernible] start to be important on the cost of CO2. It will go gradually, then the next one will really shine based on its characteristic, based on this thermal capabilities in improvement, based on its design, which this optionality are rather limited, I would say, for Mark III and NO96. Regarding the over solution, the Cubiq solution, the Cubiq solution is a solution that has the advantage of first reducing the cost. So we have removed the chamfers. So we have a solution that is fully optimized CapEx-wise. And this was promoted to the shipyard, and I can tell you they are really interested. They are interested because it offers really an optimum in the volume occupation for the ship. So you really, for example, for a different type of ship, you really have further volume that you can promote. So for example -- well, for different kind of applications. So the design is such that you optimize the volume, but you also reduce significantly the cost. And so that's an optimum. And we worked on the liquid motion side to reduce the sloshing load and improve the cost of the insulation. So by having all this improvement, we are in position to deliver a very good product for LNG as fuel application. And today, we see real interest for major shipyards.
Unknown Executive: Can you please give some detail about the LNG global shipping market? What's the part of EU in the shipping market? And what could happen if the Russian gas come back to EU? It may happen. That's my first question. Second question is everything seems to run perfectly. So what is your worst nightmare.
Francois Michel: So thank you for your question. Your first question was the LNG market dynamic for the EU and Russia, right? Okay. Thank you for your questions. So first of all, there will not be -- the way we anticipate is even if there is, let's say, a ceasefire or end of the war, then there will still be sanctions and there will be no additional orders or no activities until sanctions are lifted for the Russian projects. So no, if at some point in the future, the sanctions are lifted, we expect some Russian projects, Arctic LNG 2, for instance, to be able to reopen exports, including to the EU, and that would require additional ships, which will generate activity for us. That's the way we see it. So it's possibility to sell more. For the moment, it's totally close, and we are just monitoring the situation. Second -- your second question is everything runs perfectly. Yes, GTT is, I would say, it's an impressive machine. So I will not say the opposite. But of course, I see many things where I believe we can accelerate and create even more value and very concrete things building on what I have seen in the past. I will give you some very concrete grounded examples. One is, of course, leveraging what we have as a platform for digital applications to develop -- to be better in terms of service and maintenance and high value-added services for the LNGC market as a whole is something that -- I think it's a first win for us. Second, working better for the LFS and for the onshore market, understanding better the supply chain constraints, very close to the shipyards and the manufacturing constraints is also something where I think we can remove this bottleneck and increase our market share and the penetration of our solutions for those concrete applications. Then there is -- there are long-term very operational topics where that I will describe over time in the next couple of months, where I think the company can be even stronger on its core business and what has been done in the past. So I see a lot -- I'm very optimistic. I think I see even more potential for additional value creation and acceleration than what I thought before joining, to be frank.
Henri Patricot: I have 2 questions. The first one, I know you said it's still early, but I wanted to come back to the 450++ and wondering how much is plus, plus worth? Are we taking 25, 50, 100 more orders? And what's giving you this increased confidence around this long-term outlook? And then secondly, on digital, you referenced the potential for synergies and growth. Just wondering, how do you expect that to translate into digital revenue growth this year and beyond?
Francois Michel: Thank you for your questions. I did hesitate a lot on the wording of the 450++ because I knew it would trigger some questions. But I wanted to give you a deep indication on the fact that I am convinced that this number can be revised upwards. This number is the combination is the cumulative of 3 things. It's the amount of ships that still need to be delivered for existing projects that have reached FIDs. It's the amount of ships that will be needed for new FIDs, and this is where we have the highest uncertainty. And it's the amount of ships in the coming decade that will need to be scrapped. And there, we see a solid 200 to 225 ships being scrapped and that will need to be replaced for the various reasons that I explained before. So we had communicated before on the fact that the number would be slightly up versus 450. I see it significantly upward versus 450. That's the first thing. So significantly up, not just a handful, okay? Now let me turn to Thierry for the specific question on digital.
Thierry Hochoa: Okay. Just regarding the digital activities, you know that we do not provide any guidance per [ BU ] -- but I can tell you that the growth of the digital will be significant first because we are going to integrate for 100% of Danelec and for the full year of 2026. That's a mechanic approach. And regarding the organic growth for the digital activities, we expect to deliver the synergies that we discussed last year. And we have a strong dynamic regarding the combination of hardware and software. And you know that regarding this acquisition, we do not have any common clients. And it's very easy, I guess, to combine these 2 activities and to develop common figures and common growth for the digital activities. But we do not disclose any figures per [ BU ].
Jean-Francois Granjon: Three questions from my side. The first one, regarding the expectation, we see an acceleration of new orders in the second half of last year and the case for the beginning of this year. Do you estimate that this should have a positive impact not on 2026, but on 2027 growth for the top line and for the earnings? The second question concerns the digital business. We see a strong improvement for the gross margin, 77% versus 48% previously. So can you explain what's happened? And do you consider this sustainable to see such a level of gross margin? And the last question regarding Elogen. We saw a strong cut for the losses last year. What do you expect for 2026 and above.
Francois Michel: Thank you for your 3 questions. I will take number one and number three, and Thierry, you can -- Chap you can take the one on margin of digital. So one is the very positive dynamic that we see in order entry today, can it already have an impact as of '27? Yes. Yes, it definitely can. The extent for that is still unknown. But today, the average time between an order, a firm order and steel cutting is about 14 months. So I would say, in between 12 and 18 months. So it can have an impact or the beginning of an impact in '27. This is also the reason why the early '25 loss of moderate intake had an impact on our sales this year. So we are still in the period where what we are recording right now and what has been recorded in a very positive manner last year can be integrated in '27, Yes, of course.
Jean-Francois Granjon: Francois, you expect some new growth for the top line in '27 versus '26?
Francois Michel: It's too early to discuss, but it will have an impact. I mean if the level of orders stay at the level that we see today, of course, it will have a impact. The third -- your third question was regarding Elogen. The decision to focus Elogen on the core technology development was absolutely the right one, given the market and given also the fact that there is still a lot to do to further improve the products to make it really the best stack or the most efficient stack in, I would say, at least in the Western world. So we are there. We are very solid in terms of technology. We have limited the losses of Elogen to just a couple of million euros a year, which is a very reasonable result. And this is what we have for today. So we keep -- we will be running on a handful of projects, not more than that, small-sized projects to keep developing the technology. We will not take long, large exposures to large projects. We don't need that in the current market conditions, and we will progress from there. Thierry, you want to say a word on the [ margin ].
Thierry Hochoa: Thank you, Jean-Francois, for your question and to underline the impressive increase in gross margin for the digital activities. As I've already discussed last year regarding this activity to increase and to have profitable activity, we need to have a leadership position in this area, definitely. And in '25, we increased our price and mainly for Ascenz Marorka. So that's why we have this level of gross margin today. And we will continue in that way because today, thanks to Danelec, we have a leading position in specific areas, and we will continue to increase our price if we have this capacity and the possibility regarding these elements and the clients.
Francois Michel: I think also Danelec brings us -- Danelec is a very structured company combining hardware and software. So it has an approach to value in this digital world, which is very grounded, very solid. The Ascenz Marorka know-how is extremely, I would say, engineering driven. And so mixing the best of both, which is a lot of technology from Ascenz Marorka and Danelec very solid P&L driven is a good way to create value, and this is what we are already seeing in the figures.
Unknown Executive: We have a couple of questions from analysts online. So we will take them. And afterwards, we can take some few questions from the room again.
Operator: The first question is from Matt Smith of Bank of America.
Matthew Smith: My first question was around the record FID activity that we've seen for LNG projects in '25. So I agree that, that really underscores a big pickup in order intake for yourself versus the 2025 results. I guess I just wanted to ask how quickly you felt that those orders need to flow through. Is that the sort of next 12 months? Or is it the next 3 years? What is your sense on timing there? That would be the first question. And the second one, much broader. We talked to geopolitical uncertainties, a very broad term sort of impact in 2025 orders. Could you sort of zoom into some of the more specifics as it relates to LNG trade and whether some of those uncertainties we look to have a bit more clarity on today, please?
Francois Michel: Thank you. Thank you. So thank you for the 2 clear questions. We are already seeing very active discussions regarding the potential orders after the projects that reached FIDs last year. So very concrete, very -- our teams are involved in many of those discussions as we speak. So we expect those orders to come for some of them quite quickly and for others, I would say, within the next 18 months or so. So that's the best estimate I can give you today. But not -- it's not 3 or 4 years, I would say, within the next 18 months, perhaps 24 months for some projects, but not longer than that. So that should give us a good level of order. Perhaps there can be some slippage, but best feeling that I have today from looking at the company. Again, I'm new, but that's my best assessment. Second to your question on geopolitical tensions. Of course, there can be -- there could be a surge in tensions between the U.S. and China. What we have seen so far, however, is that if you look at the direct impact of the trade discussions or the tough trade discussions between the U.S. and China on the LNGC market, there have been very limited -- the LNGC market has been excluded from the tariff discussions on the port duties between the U.S. and China. And even if it were revived in one way or another, it would leave enough time for the market to adjust or to reroute the ships. Perhaps -- the one factor that could create some [ deformation ] is, of course, if there were some additional intense pressure for a lot of players in the industry not to use Chinese shipyards as there was last year. I mean, if you look at the number of orders on 2 Chinese shipyards, it was very limited last year. And then fortunately, it came back up this year with 6 new orders. That could create some bottlenecks in the supply chain in Korea. But I would see the risk being there. But again, Korean yards have capacity. They have spare capacity today as we speak. They have also the capacity to allocate capacity resources from non-LNGC market to the LNGC market. So we are not seeing a bottleneck as we speak.
Operator: [Operator Instructions] The next question is from Richard Dawson of Berenberg.
Richard Dawson: Two from my side. Firstly, implied EBITDA margin guidance is very resilient for 2026 despite the potential reduction in the core business. So interested just to understand what's supporting that margin, and given we could see some operating leverage reduce as core revenue falls and also the digital service business ramps up, which I believe is somewhat dilutive to group margins. That's the first question. And then secondly, maybe a bit of a broader topic, but there was some news in January that India is exploring options to construct some LNG vessels domestically. Have you had any early discussions with those Indian shipyards about using GTT's technology? And how quickly do you think any increase in shipyard slots could come online?
Francois Michel: Thank you for your clear questions. Let me start. India is a country I know very well. And yes, we have had early discussions with Indian shipyards. Now how fast can India enter into the LNGC market, we will see. But if it is the case and when it is the case, we will be there and well positioned. That is clear. And this is an area that we are working actively on. Second, in particular, in tandem in particular, good coordination with Korean yards, to be frank. Second, regarding your question on EBITDA, and I will let Thierry answer this one, but I can tell you the discipline on costs in GTT is strong, and I will clearly make sure it remains very strong.
Thierry Hochoa: Yes. We are very confident to deliver this EBITDA margin in 2026 because we have this cost discipline definitely. And I remind you that we have a flexible cost in our P&L. And definitely, when we have less activities, we can react very quickly regarding and to adjust our P&L. So that's why we are very confident because if we have less activities in 2025 in terms of orders, our different directions and department, so we'll adjust definitely their charge to take into account these less activities. So that's why we are very confident regarding this guidance and the EBITDA margin that we need to deliver in 2026.
Francois Michel: And yes, at this level of activity, we are very, very, very far from a position where it would start to be difficult for us to adjust our cost base.
Operator: The next question is from Guilherme Levy of Morgan Stanley.
Guilherme Levy: Francois, I wish you all the best in the new position. I have 2 questions, please. The first one, you alluded in the press release to a potential of cross-selling from your digital services business of EUR 25 million to EUR 30 million by 2030. I was wondering if you can provide us more color around the progress to 2030. And then secondly, just thinking about your currently very strong net cash position. I was wondering if you could put more of that cash to work in the near term how are you thinking about M&A? And also, just curious about dividends. But of course, you reiterated your dividend policy. And in a year with slightly lower EBITDA, that will ultimately mean that your dividends could decline next year. Would you be keen to keep dividends flat for longer using your net cash position?
Francois Michel: Thank you for your questions. I think your question on cross-selling for digital raises a broader question regarding how efficient we are to generate synergies between Danelec and BPS and Ascenz Marorka. But so let me give the floor to [indiscernible] for the broader question on how well we are executing the synergies. And then perhaps, Thierry, you can comment on the actual levels of the synergies and also the question on cash generation.
Unknown Executive: Thank you, Francois. On the broader side of the equation, clearly, when the announcement was made by GTT to acquire Danelec, it was mentioned that we, in combination, the Ascenz Marorka, Danelec and BPS would be on board around about 17,000 vessels. Not all those vessels carry all our solutions and all our services. The vast majority of those vessels carry either VDR or shaft power meter. And those 2 hardware propositions are actually a way in for us to try to sell other services. But we actually, in the cross-selling activities, and I think Thierry can probably comment on the actual numbers, I can comment on the activities. We go about this in a very structured way. So we have mapped all those 17,000 vessels down to IMO numbers with unique products and services. And then we basically reach out to all of them to see whether we can add more within our own digital domain. And as part of those 17,000 vessels, there are also some LNG core vessels that we should be able to sell more to. So a lot of activities around that. And clearly, also one of the biggest activities is to try to streamline our offering and not do duplicate offering into the market. We want to streamline the offering around performance, around voice optimization and not have more than one solution to our customers.
Francois Michel: Thank you, [ Kasper ].
Thierry Hochoa: Yes. Regarding the figures of revenue synergies, we have an estimation around EUR 25 million, EUR 30 million for these 2 activities. And the rationale is the fact that with Danelec, we have 15,000 vessels and Ascenz Marorka, we have 2,000 vessels. And the combination of the software that we have in Ascenz Marorka, our current affiliate and to impose this solution to the vessels of Danelec can deliver these synergies around EUR 25 million, EUR 30 million. That's the combination of 2 and based on this 15,000 equipped vessels of Danelec or from Danelec.
Francois Michel: Do you want to take the question on the cash.
Thierry Hochoa: Can you remind me your question, sorry, regarding your cash generation? I'm sorry.
Guilherme Levy: On the cash generation, I was just wondering what could we have in mind in terms of uses for your net cash position at the moment? Just thinking about dividends, your willingness to keep dividends flat even though you have reiterated your dividend policy of 80% of net income for the next year? And also if there is any sort of inorganic growth opportunity that you have identified for the near term?
Thierry Hochoa: Okay. Thank you for your question. And yes, I think the first element and first topic for the cash allocation is the dividends. We have a strong dividend policy, 80% of our net consolidated results and we will continue and confirm that we will use our cash for that. The second element is organic growth. You know that we have ambition for our technology for next one. That's an example. But for the other technologies that we are working on it to protect our core business. And we will continue investing our R&D around 10% of our revenue in average, and we will continue that way. And if tomorrow, we have opportunities in M&A, especially in digital because once again, we need to have a leadership position to have the pricing power and to be more profitable with this activity, we will continue in that way as well.
Operator: The next question is from Kevin Roger of Kepler Cheuvreux.
Kevin Roger: First of all, welcome on board, all the best for the new position at GTT. And I'm very sorry for that, but I will have maybe not a nice one for you, and it's around Elogen. For us, it's quite difficult to make the difference between the technologies available on the market. You come from a player that has also an electrolyser of technology. So I was wondering if you can share a bit with us your take on what is different for Elogen compared to the Street in terms of value to the market, technology, et cetera. That would be the first one. And the second one is just maybe as a kind of second derivative from the one with the cash, but you have generated a lot of cash in 2025. You have already offset in a sense the acquisition of Danelec. So why don't you offset the provision on Elogen for the dividend payments, keeping the 80% of the net results, which include a EUR 15 million provision roughly on Elogen. So just maybe also to understand why you do not offset that for the shareholders on the dividend payments, please?
Francois Michel: Thank you for your warm welcome. And I'm very happy to take your questions. First on Elogen. So Elogen is a specialist in high-performance PEM applications with, I would say, medium-scale electrolyzers, which are very -- at a very high level of performance for small-scale applications. The market to produce [ hydrogen ] is, in fact, very broad, it ranges from projects of a couple of hundreds of kilowatts to sometimes up to 1 gigawatt of projects. For some projects in India, it's 650 twice to 650 megawatts for a single project. Elogen is not playing in this market. Elogen targets and has the right technology to target projects up to a couple of megawatts. And those projects are coming at a reasonable pace. They will be -- they will come more and more as the overall hydrogen supply chain matures, which is why we should not accelerate too much in this field because we should not be ahead of the market. We need to be ready when the market develops gradually. And during the time that the market matures, we keep investing to have the best technology to sell those, I would say, intermediate size and small-sized projects. Elogen has very good products for this kind of applications. But of course, this market is, for the moment, relatively slow. And so we want to go at the pace that is required by the market. And we want also to keep a technological -- an edge over the technology. And I think something that GTT has done very, very well. If you look at what happens on the Elogen market is that you have some PEM players who have targeted very, very large projects and build up enormous capacities. GTT has not done so. We are focused on the right scale of the projects to keep investing in a prudent, in a cautious manner on developing its technology for the right projects. I think it's quite successful as an approach. The second is what about the cash and the dividend policy? I can tell you, GTT will maintain its dividend policy, which has been the core of the value for the company and for the shareholders since the beginning. Here, I see no value -- no reason to make an exception, but perhaps Thierry, you can comment.
Thierry Hochoa: Yes. Thank you, Kevin, for your question. And this provision, EUR 45 million for Elogen. We can say that we consider this EUR 45 million for the provision to be operational costs, and that results in a cash outflow such as the construction of the gigafactory. So we consider that operational cost, and it's part of our operational results. So that's why we consider that's not necessary to retreat this element regarding the dividends. And second aspect, Kevin, we consider that a yield of nearly 5% remains satisfactory yield, I guess, Kevin.
Operator: The final question from the online question this is from Jamie Franklin of Jefferies.
Jamie Franklin: My questions have actually been answered. Thank you so I will hand it over.
Francois Michel: Thank you. Any more questions from the room? Okay. So I would like again to thank you all for attending this presentation, both in Paris and online. We will have a lot of, let's say, opportunities to interact. Please call us any time. We're happy to take your questions and to interact and also to take your advice guidance on how we can improve further. Thank you.